Operator: Good morning, everyone, and welcome to the Inspired Entertainment First Quarter 2023 Conference Call. [Operator Instructions] Please note that today’s event is being recorded. Please refer to the company’s safe harbor statement that appears in the first quarter 2023 earnings press release, which is also available in the Investors section of the company’s website at www.inseinc.com. This safe harbor statement also applies to today’s conference call as the company’s management will be making certain statements that will be considered forward-looking under securities laws and rules of the SEC. These statements are based on management’s current expectations or beliefs and are subject to risks, uncertainties and changes in circumstances. In addition, please note that the company will discuss both GAAP and non-GAAP financial measures. A reconciliation is included in the earnings press release. With that completed, I would now like to turn the conference call over to Lorne Weil, the company’s Executive Chairman. Mr. Weil, please go ahead.
Lorne Weil: Thank you, operator. Good morning, everyone, and thank you for joining our first quarter earnings call. Here with me today are Brooks Pierce and Stewart Baker, who will be presenting prepared remarks and also Eric Carrera, who is available to answer questions as appropriate. I’ll keep my remarks this morning, fairly brief, focusing on important overarching financial comparisons, and a few particularly noteworthy specific business points. Brooks and Stuart will then go more deeply into operating in financial matters. As mentioned in the press release, there were a couple of important items that significantly impacted year-to-year financial comparisons. And because the first quarter is seasonally our lowest in terms of EBITDA, the impact of these is consequently magnified. In normal first quarters, we would have had a very significant marketing and exhibition expense, typically approaching about $1 million for the annual ICE event in the UK. While we did have the usualized in Q1 of ‘23 with associated expense, I think it was mentioned in the press release of $800,000. So there was no comparable event in the first quarter of 2022. And in 2022, we had VAT revenue of about $900,000, all of it margin, that was a rebate from our customers that arose from VAT overpayments in previous years. And then, of course, there was a foreign exchange impact. So as mentioned in the press release, when we make these adjustments, the like-for-like increases in year-to-year revenue and EBITDA were 22% and 26%, respectively, which we think more accurately represents both the momentum generating the growth in the business and the operating leverage that’s driving increased profitability. And I should mention that at this point in the year, the pound is above where it was at any point in the last three quarters of 2022. I just took a look at $1.27 today, well above certainly well above where we were a year ago. So that what has been a headwind for some time could conceivably be turning now into a tailwind. Our digital business is now accounting for nearly two-thirds of our EBITDA were the primary drivers of growth. We’re particularly pleased with the very strong reacceleration of our interactive business, which as discussed in previous earnings calls, we have been anticipating and projecting for some time. Our Interactive business initially accelerated during COVID, as those of you who follow us will remember, with virtually all of that growth coming in Europe. But as the symptoms of COVID started to recede, our interactive growth began to moderate. What’s underlying our growth now, the acceleration that we’re now talking about is the North American market, which has in a very short period of time, become our second largest and fastest-growing single market, driven by product and platform developments designed explicitly for the North American market. Since only a handful of the 60 states and provinces in North America have introduced iGaming to date, the opportunities ahead are almost limitless. The opportunity for virtual sports in North America is similarly limitless. Like with interactive, the acceleration in our Virtual Sports business had its origin during the pandemic when live sports in the UK and Europe were effectively shut down. But in this case, there was no plateau in the post-COVID period as had been the case with Interactive, where we needed to retool for North America, as I mentioned a minute ago. As we’ve outlined previously, our growth in virtuals has come through steady expansion into new geographies, complemented by product and technology development. And now we stand at the edge of a product geography opportunity like none we’ve seen before, the launch of the NFL product in the North American market. And in a moment, Brooks will discuss this opportunity in some more detail. At the same time, our retail businesses continue on their intended strategic path, providing modest growth with strong cash generation, particularly in the context of our evolving asset-light business model. The new Vantage terminal, which we talked about a lot in the fourth quarter conference call, having demonstrated a 13% uplift in win per day now after almost a year of field trials promises to enhance both growth and cash flow in all segments of our retail business.  And it’s worth mentioning in conclusion that last week was the strongest week in the UK Betting Shops segment since prior to the impact of the triennial review in 2019. And with that, I’ll hand it over to Brooks.
Brooks Pierce: Okay. Thank you, Lorne. I’ll give a little more color on the business on a segment-by-segment basis as I normally do. But I also want to add to a few points that Lauren made in his remarks. Inspired has transformed in the post-COVID world to a digitally led business with now two of our EBITDA coming from these segments. These segments have all the characteristics you look for in businesses with high growth rates, high margins, low capital intensity and numerous expansion opportunities, both from a product and geography standpoint and highly differentiated offerings that make them unique and wide distribution through almost all Tier 1 operators around the globe. Frankly, it’s what you would strive for if you were starting a business from scratch. And we really believe that we are early in the development curve of these segments and the potential addressable markets for both across gaming, lottery and sports betting operators is huge. In short, we feel we have a unique opportunity to capitalize on. It’s also important to mention, as Lorne did how strong our gaming machine businesses, particularly in the UK, are performing with levels not seen since the triennial in our betting shop business and our sales funnel in the adult gaming center segment is also at record levels. The icing on the cake to all of this is the signing of the new 5-year agreement with our largest pubs customer, J.D. Wetherspoons. It’s worth noting that the importance of the synergies and benefits we derive from the combination of our digital and retail businesses. We leverage our design studios to develop games that work in both segments and drive play to each channel and reduce our overall cost by spreading the development across both segments. It’s also very beneficial to have players exposed to our content and familiar with our content in both channels, which drives engagement with both. And lastly, our commercial relationships are strengthened with key customers by having multiple products available to them across the globe, including our virtual sports alongside our gaming offerings, and this will hold true with both lottery and sports betting operator customers. Many in this industry talk about omni-channel, but we’re proof of it every day. So now on to the segments themselves. As Lorne mentioned, our interactive business had a very strong first quarter with revenue growth of 38% on a functional currency basis. And that momentum is carried on into April with the last week of April being the highest revenue week we have ever had even beyond December, which is largely driven by the holiday theme games and it’s historically our high watermark. This growth was well distributed across all geographies, but primarily in the core markets of the UK and North America that make up approximately 75% of this business. We have several drivers in the next few quarters with the launching of some key new titles, particularly in North America with the Terminator game as well as now getting FanDuel in Michigan and with New Jersey and Pennsylvania also to come with FanDuel. We made a substantial investment in our talent base and capacity and account management that’s paying dividends with growth coming in key markets like Italy and the Netherlands that had been reasonably flat. Our game design teams continue to produce content that’s resonating with players across all our markets and our recent game catch the day reeling them in has come out of the box with some amazing numbers, and we’re anxious to get it into the North American market.  Moving over to Virtual Sports. Virtual Sports business continues to deliver very strong results with 42% revenue growth year-over-year on a constant currency basis. Although online now represents almost 80% of the virtual sports revenue, we’ve also seen over 10% growth in the retail part of our business in mature markets like Greece and Italy, which speaks to the quality of our offerings and working with our customers to tweak and enhance our product to appeal to their player base. We’re very excited about the potential of the NFL license and all the potential ways we can deliver multiple products, leveraging that license similar to what we’ve done with varied and unique offerings of our soccer product on a worldwide basis. The NFL brand, we believe, will resonate with sports betting players and operators and we will comment further on that as these opportunities coalesce. We also believe this license will really appeal to the lottery market, and early indications are bearing that out. We’re targeting the first variation of the NFL product to be live for the kickoff of the ‘23 season in September, but we will also be adding variations throughout the rest of the year and before the next Super Bowl. We’re excited about the launch of our home run shootout game this quarter and believe this product will resonate with our customers in North and Latin America as well as potential new markets in other parts of the world. And finally, we are excited about the Women’s World Cup this summer and showcasing our women’s soccer product, the first of its kind in women’s virtual sports. Moving over to the gaming side of the business, particularly in the UK, is delivering positive results with our betting job business hitting numbers we’ve not seen since the stakes changes brought on by the Triennial. It bodes well for the business going forward as we start installations this quarter with Betfred and Paddy Power with the new Vantage cabinet that Lorne discussed previously and that was trialed successfully throughout 2022. This conversion process will take most of the second and third quarter, and we would hope to see improved cash box results throughout, but certainly by quarter four. We’re also seeing great demand for the Vantage cabinet in the adult gaming center market, which is akin to slot hauls and where ironically, Novomatic happens to be our largest customer. And we will be rolling that cabinet out in that segment throughout the rest of the year and building up our recurring revenue content fees as we move into 2024. We’ve widened our lead on our nearest competitor in the Greece market and we will be replacing 2,500 terminals there this year with both Vantage and Valor cabinets, which we anticipate will strengthen our market advantage. We’re also putting terminals on trial in a key Canadian province to build upon the success of our sale to WCLC at the end of 2022. Although the gaming segment is mature, we’re bullish on the various growth opportunities we have this part of the business and leveraging our content teams to drive continued improved performance, therefore, creating the operating leverage that Lorne addressed in his remarks. Finally, the leisure part of the business is seeing very positive early results in the holiday park segment of the business with growth rate percentages in the teens. As we have previously discussed, we lost some share in the pub segment at the end of last year, but expect to have recovered all of that loss by the end of ‘23, and we are happy to announce that we’ve signed the contract extension as mentioned, with our largest pubs customer, where we have approximately 60% of their state covering over 400 pubs and over 2,000 machines. We believe that the combination of our new Vantage cabinet, enhanced service and analytics offerings will help us to put this part of the business back in growth mode.  So with that, I’ll hand it over to Stewart for further remarks.
Stewart Baker: Thank you, Brooks. Good morning, all. I’m going to keep my comments on the number 3 with details provided in the release and the fact that the 10-Q will be filed after hours today. Again, the comparative numbers are impacted by a change in the pound dollar rate, which was an average of 1.21 this year versus 1.34 last year, a fall about 10%. The – as Lorne mentioned, we’re hopeful given where the rates have been that next quarter, this becomes less of an issue and may even be a tailwind. For now, when I discuss this quarter, I’ll talk about functional currency variances unless stated otherwise. So it’s easier to understand the underlying trends. So overall, revenue grew by a healthy 20% with Virtual Sports growing 42%, interactive by 38% and gaming by 26%. This growth in gaming is attributed to a combination of product sales, which more than doubled and growth in participation in revenue of 12%. As mentioned, there was the final amount of VAT revenue in the prior year quarter. So excluding this, gaming growth would have been 31%. While leisure experienced good growth in holiday parks, it declined in pubs. Part of this was deliberate given the strategic exit last year of non-core, low-margin non-gaming products, but also because of a reduction in the gaming terminals as part of one customer renewal. For this reason, we’re proud to announce the J.D. Wetherspoons agreement today with the same number of terminals in operation as we currently have. As mentioned, holiday parks income was strong, but keep in mind that due to the first quarter seasonality, most parks remain closed for at least 2 months. So the impact is less than it would have been otherwise. That said, we’re confident that leisure will be back into growth mode soon. At an adjusted EBITDA level, we grew 15%, meaning EBITDA margin fell from 33% to 32%. However, adjusting for the aforementioned VAT revenue and also for exhibition costs in this quarter, which we didn’t have last year, EBITDA grew 26% and margin increased from 31% to 32%. Virtual Sports EBITDA grew an impressive 50% and interactive 30% with slightly reduced margins due to investments in technology and commercial heads to continue to drive top line growth. Gaming grew 7%, excluding 2022 VAT income, again, with a change in margins with the mix in product sales. As we talked about before, these can vary quarter-to-quarter in absolute and margin terms, depending on the deals recognized in the quarter. Leisure EBITDA declined 29% on a small absolute number, but this being typically weakest quarter from a seasonality point of view. Below adjusted EBITDA, we took a charge of $3.7 million for restructuring costs in the SG&A line, including $0.7 million in stock-based compensation versus nil in the prior year. Last year’s numbers also benefited from a 0.9% gain on disposal of the Italian VLT business. For these reasons, net income per diluted share reduced from $0.05 last year to a $0.01 loss this year. We think it’s useful to show the underlying trends of the business, so we’ve introduced adjusted net income, which grew from $0.7 million last year to $3.6 million this year. And adjusted net income per diluted share increased from $0.02 to $0.13. So turning attention to cash flow. Overall, in the quarter, we increased cash from $25 million at the start to $27.8 million at the end. Although there is no interest payment in this quarter, it is still traditionally a cash outflow due to the holiday parks being off-season and CapEx usually being the highest quarter. Last year, for example, there was an outflow in the quarter of $7 million, whereas this year, there was an inflow of $2.8 million under the demonstration of the positive trajectory of the company. And while we didn’t buy any stock back in the quarter, we did set net settle a number of RSUs, which has the same impact, taking out over 300,000 shares at an average price of $12.67 per share. Finally, focusing on the balance sheet. Just a reminder, our debt has a fixed coupon rate of less than 8% and does not mature until June 2026, although from next month, it is callable. And we finished the quarter with net leverage of 2.6x. So with that, I’ll hand back to Lorne for any closing remarks before opening up to Q&A.
Lorne Weil: Thanks, Stewart. That was a great financial summary. I don’t have anything to add to that just at the moment. So operator, can you please open up the program to Q&A.
Operator: [Operator Instructions] our first question will come from the line of Barry Jonas with Truist Securities. Please go ahead.
Barry Jonas: Hey, guys. I wanted to start with the white paper was recently released and I would like to just get your thoughts on how you see it impacting both your digital as well as maybe land-based businesses. Thanks.
Lorne Weil: I think we need to keep this answer short, Barry, but our short takeaway answer to that question is there was nothing at all in the way of negative surprises in the white paper and we’re comfortable that at least as the way paper stands now, we’ve pretty much baked the impact of all that into our planning and projections for the business.
Barry Jonas: Understood. And then just a follow-up, NFL deal very exciting. I wanted to maybe just get a few more thoughts on how you think this could grow the business. And if you are able to give any color on the deal structuring or maybe more directly, how this should influence the segment margins, that would be pretty helpful. Thanks.
Brooks Pierce: Yes. Well, I think in terms of the opportunity, as I mentioned in my remarks, from a product standpoint, we are going to have a couple of different variations similar to what we have in soccer. And I think it’s reasonable to assume that the largest sports betting operators – I consider this a catalyst moment for us in North America, in particular. But certainly, all of our existing customers, the BET365 of the world are very excited about this product. In terms of the economics, we are a sub-licensee to Aristocrat, as you know. We feel that the economics are very favorable from not only our perspective in Aristocrat, but also the NFLs. So, I would expect that if this does the numbers that we expected to do that it will only – obviously, our margins are extraordinarily high in this business already, but I would certainly expect that it would help increase the margins in this business.
Lorne Weil: Point that whatever royalties we might pay would not dilute our margins, I think that’s…
Lorne Weil: Yes. What Lorne was just saying is that whatever – just to reiterate that the royalties that we would have to pay would not dilute our margins, which is true. In fact, I think our margins will increase.
Barry Jonas: Great. That’s really helpful. Thank you so much.
Lorne Weil: Thanks Barry.
Operator: Your next question comes from the line of David Bain with B. Riley. Please go ahead.
David Bain: Great. Thank you and Good morning everyone. Obviously, significant growth across the board, particularly as you unpack the FX, the VAT, the other item. Given 1Q trends, do you think about – and really trends to-date, do you think about 2023 growth the same way you did a few months back, especially when also factoring the sterling appreciation? And Lorne, before either if you answer, I mean recall last earnings, you mentioned you were a company with consensus. So, I am not sure we can relate the response to that comment as a practice, but maybe this one-time would be helpful.
Lorne Weil: I had a hunch that question that’s coming. Yes. So, we did back at the end of the fourth quarter, say that we were comfortable with consensus estimates for 2023. And we weren’t comfortable at that time saying much more than that because, as you know, and as we reiterated our general policy is not to give guidance. But I think as you correctly identifies, Dave, a number of things have either clarified or strengthened since the end of the fourth quarter. Clearly, the pound is very important. As I have said a second ago, right now, it’s $1.27. So, it’s 5% or 6% higher than it was on average for the entire second half the entire last three quarters of 2022. So, that’s an important indicator. As I said a minute ago, there were no negative surprises that we could see in the white paper. So, I think any impact of that, we have already accounted for in our budgeting and in our projections, not to sound like a broken record, but again, the apples-to-apples growth momentum in the first quarter was obviously very significant with now most recently the betting shop and the interactive business being at record levels. And as Stewart said, the strength of the new customers that we have got in the holiday park business makes us feel pretty comfortable that as we move through the year, we will go back into growth in leisure and these 22% revenue growth and 26% EBITDA momentum in the first quarter was after a decline in leisure, which we are pretty sure is going to reverse itself. So, I think if we take all that stuff together, it would probably be disingenuous of me to simply reiterate what we said at the end of the fourth quarter, which is we are comfortable with the consensus. I think you can’t look at all of those, let’s say, clarification factors and not come to the conclusion that we are comfortable right now that we can beat the consensus for the year. But I want to get at least another quarter ahead before we started to even think about establishing a range for quantifying that. But certainly we are feeling much more brilliant about the last three quarters of this year and because of the strength in the first quarter, the full year than we were a couple of months ago.
David Bain: Super helpful. Just given – go ahead. Okay. So, given the EBITDA growth mix, CapEx light, the free cash flow, no – or I am sorry, low net leverage, that dynamic. How are you viewing capital allocation, particularly as it relates to share repurchase? I know we are active. But in light of what you just discussed, too and the dynamic I did, what other capital allocations, or just how are we thinking about buybacks going forward relative to what you have done to-date?
Brooks Pierce: Yes. Well, we haven’t been able to buy any stock back lately because we have been in an extended blackout period. But I think I can comfortably say that as soon as we are allowed to resume share buybacks, we intend to start doing so, absolutely.
David Bain: Okay. Awesome. Thank you very much.
Brooks Pierce: Yes.
Operator: Your next question comes from the line of Chad Beynon with Macquarie. Please go ahead.
Chad Beynon: Good morning. Thanks for taking my question Wanted to ask a two-parter on Interactive. I guess, firstly, can you kind of help frame out how important the integration and partnership with FanDuel you mentioned that’s going to happen in the near-term in Michigan and kind of how revenues could potentially build throughout the year? And then the second part of that is just related to the overall content that you have. If your games are successful, I am guessing your partners will want a bigger menu of games. How are you feeling with just the overall content delivery that you have and if it makes sense to bulk up or potentially acquire an additional studio? Thank you.
Brooks Pierce: Sure, Chad. So, in terms of FanDuel, so we are live with them now in Michigan, and we are seeing the results exactly as we expected as we roll games out to them, and so it’s resonating with their players just as we had hoped it would. So, we are – I think we are at like 93% market penetration now in Michigan. But in Pennsylvania and New Jersey, we are still kind of 70% because of not having FanDuel. So clearly, when we go with FanDuel in Pennsylvania and New Jersey, we would expect to get the same uplift that we are seeing out of Michigan. So, that’s – obviously, that’s kind of the biggest customer that we don’t have across all of our markets. The second part of your question in terms of content, yes, I think we certainly aren’t going to forsake the quality of our content because it’s clearly resonating with players and there is a limit as we are currently constructed with how many games, how many very good games that we can get out the door. So, I think it’s a natural – certainly, our customers would like to have more content from us, and we are either going to have to figure out a way to either build or buy to provide more content because that seems to be the thing that’s kind of, I guess maybe not necessarily missing, but would be additive and help even further enhance the growth in the Interactive business. So, yes, you are spot on with that.
Chad Beynon: Okay. Great. And then looking at margins, you said excluding the items that you called out, I believe margins were actually up year-over-year and a lot of that just comes down to the segment growth. So, I am assuming if digital continues to grow, you should have some overall margin lift for the company. But anything else for us to just be aware of when we are thinking about margins, whether it’s inflation, component cost, etcetera, or do you think the expense side of the business, is that a good place? And as the revenues grow, we could actually see margins expand? Thank you.
Lorne Weil: Yes. I think there are elements on either side of the scale exactly as you said, Chad. All of the supply chain stuff has still not completely worked its way through the system. I for one think it’s actually the most important reason why we still have inflation in the United States. And it will take the fixing of the supply chain thing once and for all to bring inflation back to where it needs to be. So, we are seeing that, and we certainly have inflation in our costs in the UK. But at the same time, the operating leverage, particularly in our digital businesses is so huge. And with the growth rates that we are seeing in the digital revenue we are pretty comfortable that the benefit to margins from the operating leverage in the growth of the digital businesses will continue to outweigh the negative drag of supply chain and inflation. So, net-net, I think as our revenues continue to grow without getting into any quantification, we are pretty comfortable that our margins will be growing.
Chad Beynon: Thanks Lorne. Thanks Brooks. Appreciate it.
Brooks Pierce: Okay Chad. Thanks.
Operator: Your next question comes from the line of Jordan Bender with JMP. Please go ahead.
Jordan Bender: Great. Thanks for taking my question and good morning. So, Interactive and Virtual, those segments continue to grow nicely. I think the last kind of online opportunity comes from the iLottery segment that you guys have spoken about. Can you just kind of update us on some of the conversations you are having there? It seems like legalization of that is just maybe a little bit slower than expected. So, anything you can kind of add color there? Thank you.
Brooks Pierce: Yes. Well, so maybe two things. One is we had mentioned on the last call that we were about to go live with our online iLottery product in the Dominican Republic, and we have subsequently done that. And that’s – so that’s a nice achievement for us, and we will start seeing some more growth out of the existing DR business. But in terms of the iLottery expansion opportunities in the States, obviously, we are following some of this very closely, Massachusetts, in particular, looks like it seemingly has some momentum to add that. It’s kind of like handicapping what states in iGaming will also get legalized. So, we are preparing and building product with the idea that both from an iGaming and iLottery perspective that there will be more and more states coming down the pipe, but we just don’t know exactly when that’s going to happen. So, we want to be prepared for us in Massachusetts. Yes, I did mention Massachusetts.
Jordan Bender: Great. Yes, that did. Thank you. That’s all I have for this morning. Thanks guys.
Brooks Pierce: Okay. Thanks.
Operator: Your next question comes from the line of Edward Engel with ROTH. Please go ahead.
Edward Engel: Hi. Thanks for taking my question. The gross win per day continues to – on the gaming side continues to impress. It looks like it was up Q-on-Q again. Just curious, I mean is Vantage really move the needle at all yet, or is it still such a small part of the base and I guess, can you just remind us the number of Vantage units you are expecting to deploy as a part of your two big deals over the next two quarters? Thanks.
Brooks Pierce: Yes. So, thank you. So, Vantage has only been on trial that it’s been for over a year, and that’s the 13% uplift number that we referenced. So, Vantage is – there aren’t Vantage terminals out live other than the trial machines, but through the rest of this – really the second and the third quarter, maybe bleeding a little bit into the fourth quarter, we will have 6,000 units out in the field, in the bedding shop business. So, with Paddy Power and Betfred – so they will be fully converted by the time we get into the fourth quarter and then William Hill subsequently. So, we are certainly expecting – we see no reason – it’s a smaller sample size on that 13%. So, there will be a little bit of dilution. But we are certainly expecting the cash box to lift by the Vantage term owners. Our customers feel that way, and the players are very engaged. So yes, we are fully expecting once Vantage is fully deployed to get an uplift in the cash box.
Lorne Weil: We should also just add to that, that I think what Brooks was saying about the gaming or the betting shop business is exactly right. But we are also – we are very sanguine about what the impact of the Vantage Cab C version or the pub and AGC version of Vantage will be. And so we are really expecting a double-pronged impact of that in the market.
Brooks Pierce: Yes. Good point.
Edward Engel: Helpful. And then for the Greece agreement that you announced today, is that more in line with your legacy structure where you are going to do the CapEx to yourself in place, or is it more like some of new contracts where it’s more of an asset light?
Stewart Baker: So – hey, this is Stewart. So, it’s in line with how we have done before. So, it tend shows as our CapEx. I think as we have said previously, we get a significant upfront contribution. So, from an accounting point of view, we see the CapEx, but we don’t see the big cash hit.
Edward Engel: Perfect. Alright. Great. Thanks and congrats on a great quarter.
Lorne Weil: Thanks Ed.
Operator: Your next question comes from the line of Ryan Sigdahl with Craig-Hallum. Please go ahead.
Ryan Sigdahl: Good morning Lorne, Brooks, and Stuart. Just one for us, otherwise, everything has been covered. Just a follow-up on Greece, I guess I think I caught a 2,500 new placements. I guess, are those new placements expansions or are you displaying competitors in that market? And then can you remind us kind of where your market share stands today?
Brooks Pierce: Sure. It’s actually replacement terminals. So, we have just over 9,000 terminals there, and I think we are 10% or 15% in terms of placements higher than anybody else in the market. But the 2,500 terminals that are going in, which will be a combination of both VALOR and Vantage, our replacement terminals that are – those terminals are probably 5-years-old. So, as part of the – again, with – in concert with our customer, OPAP and trying to make sure that we maintain our edge and can do everything to drive the cash box numbers up because that’s how we participate. Putting in new content, and as Stewart just mentioned, we get an upfront fee from them in doing so. So, it’s to our advantage to have the newest best highest-performing content in the market. So, that’s more or less what we are doing with the 2,500 terminals.
Ryan Sigdahl: Very good. Nice job guys.
Brooks Pierce: Thanks.
Operator: I will now turn the call back to Lorne for any closing remarks.
Lorne Weil: Thanks operator. I don’t have anything to say really at this point that we haven’t said already. I think we are all very pleased with where we are at the end of the first quarter. I think everything is pretty much clicking on all cylinders. We are looking forward to a very strong second quarter, and we look forward to talking to you again in three months at the conclusion of that, so thanks again.
Operator: That will conclude today’s call. Thank you all for joining. You may now disconnect.